Operator: Greetings and welcome to the Fuel Tech 2019 First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to conference over to your host, Devin Sullivan, SVP of Equity Group.
Devin Sullivan: Thank you, Dana, and good morning everyone. Thank you for joining us today for Fuel Tech’s 2019 first quarter financial results conference call. Yesterday after the close, we issued the release, a copy of which is available at the Company’s website, www.ftek.com. The speakers on today’s call will be Vince Arnone, the Chairman, President and CEO; and Jim Pach, the Company’s Principal Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I’d like to remind everyone that matters discussed in this call, except for historical information are forward-looking statements as defined in Section 21E of the Securities Act of 1934, as amended which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech's current expectations regarding future growth results of operations, cash flows, performance and business prospects and opportunities as well as assumptions made by and information currently available to our company’s management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks and uncertainties and other factors including, but not limited to, those discussed in Fuel Tech’s Annual Report on Form 10-K in Item 1A under the caption Risk Factors and subsequent filings under the Securities Exchange Act of 1934, as amended, which could cause Fuel Tech’s actual growth, results of operations, financial condition, cash flows performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect the future events, developments or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties, including those detailed in the Company’s filings with the SEC. With that said, I’d now like to turn the call over to Vince Arnone, Chairman, President and CEO of Fuel Tech. Vince, please go ahead.
Vince Arnone: Thank you, Devin. Good morning and I want to thank everyone for joining us on the call today. I’m here today with Jim Pach, our Principal Financial Officer and Controller. It has only been a short time since we last spoke, so I’ll keep my remarks brief this morning. While our Q1 results were slight below our expectations due to a variety of exploring items, we remain optimistic regarding our outlook for the full year whereby we expect to generate operating income from continuing operations for the second consecutive year excluding the losses and charges associated with the suspension of our China operation. Our first quarter 2019 net loss from continuing operations are $1.3 million included operating losses that are soon to be suspended the Air Pollution Control business in China and other charges totaling $1.2 million as well as the unfavorable impact of the timing of the completion of current APC project under contract. Absent these charges, the financial results from our core operations fell just short of breakeven for Q1, 2019. We continue to pursue a promising pipeline of APC contract opportunities particularly in the U.S. and we are in various stages of negotiation with potential clients that in the aggregate represents $10 million to $15 million of contracts of award opportunities that we expect to close by late Q2 or early Q3 of 2019. Additionally, the outlook for our FUEL CHEM business is promising. We are currently installing our FUEL CHEM program on two incremental coal-fired units in a domestic utility this month and expect to have these new units up and running by the end of Q2 of 2019. Our soon to be suspended APC business in China had an unfavorable impact of $0.9 million on the quarter via the combination of planned employee severance payments and incremental operating cost. We continue to make progress towards the suspension of this business and we expect that the activities associated with this suspension will be substantially completed in the second half of the year. We're no longer originating project work from our Beijing office and our focused on completing our work on several projects under contract and on collecting our outstanding accounts receivable. As we wind down these operations, the impact of the associated losses will be removed from our profit and loss statement. Beyond this item, we experienced some unfavorable project timing for our APC segment and we incurred some additional cost in support of completing one project. Additionally, we experienced some unplanned customer driven outages at FUEL CHEM which otherwise would've allowed for a larger favorable revenue variant versus Q1 of the prior year. Moving down to our profit and loss statements, our SG&A declined by 0.5 million versus Q1 of 2018, largely due to the organizational actions in China and to a reduction in other foreign expenses. Consolidated gross margin was approximately 40% in Q1 of 2019, which was at the same level of the prior year. R&D investments remain stable with Q1 of 2018. Total cash was approximately 13.2 million at the end of the quarter and we remain debt free. Although, our capital projects backlog was at the same level as Q4 of 2018, we are optimistic about the balance of the year due to our business development efforts for APC and our strong outlook for FUEL CHEM. With respect to our APC business as I noted, we are in various stages of negotiation with potential clients that in the aggregate represent 10 to 15 million of contract awards on a global basis that we expect will close late in Q2 or early in Q3. Domestically, these APC opportunities focused primarily on ULTRA and SCRs for industrial applications whether they'd be for new site developments or in support of Title V permit renewals, and on ESP refurbishment work for plant maintenance and expansion. In Europe, BREF, which is also known as the Best Available Reference Technology, guidelines were issued in August 2017 with a compliance timeline through 2020. These guidelines reduced target NOx emissions from prior level. Plants in EU countries with heavy reliance on coal-fired generation such as Poland and Czech Republic need to upgrade their current DeNOx systems as well as neighboring countries in the Balkans and Turkey. However, current economic conditions have stalled projects in Turkey indefinitely. Earlier this year, Germany decided to extend coal-fired generation through 2038, which will necessitate upgrades to primary and secondary NOx control systems to meet the BREF guidelines, and we will pursue these opportunities with a German partner. We are currently pursuing bids for our SNCR, SCR and ammonia delivery system technologies in multiple countries in Europe and also through European partners with global exposure for technology deliveries in non-European geographies. We continue to pursue opportunities associated with our various licensing agreement. In India, VR partner is just heavy engineering limited. We have mentioned in prior quarters that the government had backed off from initial compliance timeline and has prioritized remediation targets in order of importance. First the particulate matter, then Sox and, finally, NOx this presented an opportunity for Fuel Tech to capitalize on our Flue Gas Conditioning or FGC technology in the marketplace and showcase it as a low-cost highly effective particulate control technology, compared with the ESP or bag filter hybrid solutions. We are currently in the bid process on opportunity for an FGC system and we will continue to report on our progress in the future. We expect the demand for SNCR systems to pick up in 2019 as technology demonstrations are concluded at NTPC plants. As NTPC officials have acknowledged that combustion modifications alone are not adequate to reach the 300 milligram per normal cubic meter and NOx target for pre-2016 units. As a result, we have finally started to receive firm enquiries for SNCR in India. As I stated on our last call, in 2018 approximately 60% of APC revenue was derived from natural gas applications, up from 21% in 2017 and only 4% in 2016. We expect this general trend to continue into the future as natural gas is still expected to be the primary fuel source for new sources of power generation. We continue to believe that coal will remain a part of the country’s evolving fuel metrics for years to come. Our FUEL CHEM program predominantly assists coal-fired power generation and their effort to burn lower quality fuels more thinly and efficiently. To this end, I'm very excited to state that we are currently installing our FUEL CHEM program on two incremental coal-fired units at a domestic facility and expect to have these new units up and running by the end of the second quarter of this year. In addition to the normal sale of chemical as part of the FUEL CHEM program, this project also includes in order for approximately $1 million for equipment and installation for these two units which is expected to be realized as revenue in the second quarter of this year. I want to emphasize that these units are not base loaded units and the revenue potential on an annualized basis will be driven by power demands and dispatch on a seasonal basis. When operational, these new units are expected to generate historic FUEL CHEM gross margins. You may recall that early in the third quarter of 2018, we had a new coal-fired unit and existing customer on the Midwest. This has been the first incremental coal-fired unit that we had added to our customer base in almost four years and we’re very pleased to have added two more units in this relatively short period of time. We are continuing to pursue FUEL CHEM applications in other geographies. In Europe where we’re focusing on biomass and using municipal solid waste opportunities; in Southeast Asia via our partner Amazon Papyrus for the pulp and paper industry where are using our RECOVERY CHEM program. And in other Southeastern Asian countries where coal is the primary source to fuel power demand and related pricing is high and we’re slightly following this initiative. One such country is the Philippines. Regarding our Dissolved Gas Infusion and Water Technology business, at the outset, we knew that developing this new product and market application will take some time. Our investors have been modest and our progress steady and tangible. We now have a mobile demonstration trailer and we are in discussions with multiple potential customers across the variety of industries with the primary focus currently on the oil and gas industry. The Permian basin is now the largest oil producing region in the world per the Energy Information Administration report just issued in April this year. Q2 growth in oil projection is anticipated and produced water volumes from fracking operations are exploding. The space for produce water is either reused for fracking disposal wells or recycling. It is important to note that disposal wells are becoming more difficult to permit due to seismic considerations and transportation cost either via a truck or pipeline to more remote disposal wells are becoming a severe economic issue in the region. This specific water issues set DGI can address include total suspended solid, hydrogen sulphide and metals removal along with keeping at the basins a little bit overtime. We are investigating other industrial and utility market concurrently as we believe DGI can provide benefit in these markets as well. We expect to have a demonstration up and running by the end of Q2 or early in Q3 of this year. We are excited about our opportunity landscape for the remainder of this year and thereafter as we have good visibility to new APC project awards strengthen in FUEL CHEM business and continue traction with our water treatment initiatives. Additionally, we are on the process of eliminating approximately $2 million in annual operating losses from our financial performance as we finalize the suspension of our China operations. As I noted previously for the full year 2019, we expect to generate operating income from continuing operations and positive cash flow. In closing, I want to thank you once again for your ongoing interest in Fuel Tech and for your patience as we continue diligently towards the next steps of our development for our company. While our first quarter results did fall slightly short of our expectations, I still remain confident about our future and I can assure you that the entire Fuel Tech team is doing everything possible to ensure that we provide a successful return to our shareholders. I will now turn the call over to Jim for a discussion of our financial results. Jim, please.
Jim Pach: Thanks, Vince, and good morning everyone. As Vince has noted, our Q1 results were impacted by the following items. A $0.6 million severance related restructuring charges associated with the ongoing suspension of Beijing Fuel Tech operations. A $0.3 million operating loss of Beijing Fuel Tech excluding the restructuring charge previously mentioned. And finally a 0.3 million charge for incremental work for domestic APC project. We expect the operating loss for Beijing Fuel Tech in Q2 to be consistent with Q1 excluding the severance and other charges. As it relates to the $0.3 million charge for the incremental domestic APC work, we are working with our customer to satisfy all of their requirement charge scope of work. As you’ll see we operated just below breakeven for the first quarter exclusive of these items. With respect to the top line, first quarter revenues declined to $10.2 million from $12.8 million, reflecting a $2.8 million revenue declined at APC and a $160,000 revenue increased at FUEL CHEM as compared to last year’s first quarter. Lower APC revenues were the result of the decline in backlog entering the first quarter of this year as compared to last year’s first quarter. As Vince has mentioned, we are actively pursuing several promising contracts in the U.S., which we expect to close in the near term. Consolidated gross margin was 39.5% of revenues compared to 39.3% of revenue in Q1, 2018. Gross margin in Q1 of 2019 included the $0.3 million domestic charge exclusive of this item gross margin in Q1 of 2019 was 42.1%. APC gross margin was 1.9 million or 32.8% as compared to 3 million or 34.8% in Q1 of 2018. Excluding the 0.3 million charge APC gross margin in Q1 of 2019 was 2.2 million or 37.4%. APC results for Q1 of 2019 included revenues of 0.3 million from Beijing Fuel Tech and an operating loss including restructuring charges of 0.9 million. In 2018 in Q1, revenues from Beijing Fuel Tech were 0.7 million with an operating loss of 0.5 billion. FUEL CHEM segment revenues rose to 4.4 million from 4.2 million in Q1 of 2018, reflecting favorable weather conditions and the addition of a new coal-fired unit at an existing customer site in the Midwest U.S.. During Q3 of 2018, partially offset by earlier than expected customer driven outages and regional dispatch in Q1 of 2019. Segment gross margin was 48.4% in Q1 of 2018 and 48.5% in Q1 of 2018. For the full year 2019 we are targeting a blended APC and FUEL CHEM gross margin of between 35 and 40%, excluding the impact of China. We continue to focus on cost control and our SG&A reflects that in Q1. SG&A for Q1 of 2019 was 4.5 million a 9.4% decline from Q1 of 2018. For the full year 2019 we expect SG&A to range between 15 and 16 million, which excludes China SG&A of approximately 1.4 million, which we expect to report a discontinued operations following the anticipated completion of the suspension of our APC activities in that geography during Q3 of 2019. R&D expenses of just under 300,000 were stable compared to last year's first quarter. R&D for 2019 is expected to be comparable to or slightly above the 1.1 million, we reported in 2018 with higher spending, driven in large part by our development of the Dissolved Gas Infusion technology. Net loss from continuing operations was 1.3 million or $0.05 per diluted share compared to net loss from continuing operations of 191,000 or $0.01 per share in last year's first quarter. Excluding the charges and the impact of the operating losses at Beijing Fuel Tech's net loss from continuing operations for Q1 of 2019 was 0.1 million or $0.01 per diluted share excluding the China operating loss in Q1 of 2018 adjusted net income was 0.3 million. Given our cumulative net operating losses of 26.1 million at March 31 of 2019 which covers several geographies, we continue to expect that our income tax expense for 2019 will be at or near zero. This figure includes China NOLs which we will maintain given that we are preserving the legal entity in China. Our balance sheet at March 31, 2019 remains debt free. And we had cash and cash equivalents of 13.2 million, including restricted cash of 6 million. We continue to monitor our liquidity in all of our geographies. Our working capital balance at March 31, 2019 was $22 million which will continue to support our ongoing operating need of the business. Our existing U.S. credit facility with JP Morgan shift expires at the end of the second quarter. The Company is actively pursuing the renewal of its U.S. domestic credit facility and intends to renew the U.S. facility at maturity. We are currently evaluating our banking options and instructions available to us. At a minimum, we expect to be able to maintain our existing facility with the same term that was currently provided to us. With respect to valuation, our book value per share was a $1.36. Our tangible book value per share was a $1.23 and our working capital per share was $0.91 at March 31, 2019. In addition, we have approximately $0.68 per share in deferred tax assets for the U.S. and Italy, which have been fully reserved and are not included in any of the per share amounts quoted above. With those remarks, I’d like to turn the call back over to Vince.
Vince Arnone: Thank you very much, Jim. Operator, we’d like to now open the line for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal: So just going over the backlog relatively flat at the end of 1Q ’19 versus 4Q ’18, how does this impact sort of our expectations for the full 2019 relative to 2018? I know you've mentioned you’re expecting $10 million to $15 million in contract opportunities to potentially close over the next few months, but the current rate is a little bit sort of a year-over-year slower than what we saw in 2018. So just wanted to get some context around how we should expect the next three quarters for 2019 to play out?
Vince Arnone: Understood, Amit, and you’re right, the pace of bookings in 2019 has been slower than 2018 thus far. As it relates to impact on full year, we’re still focused on obviously to delivering operating profit from continuing ops on the bottom line. That is our target. From a top line perspective without getting call it full year guidance on top line, I can tell you that FUEL CHEM we’re expecting to trend in a similar to slightly favorable fashion in ’19 versus ’18, but just given the timing of contract award thus far, in 2019 on the APC side, I would expect a little bit of reduction on the APC side in ’19 versus ’18 just based on pure timing today. So, we’re focusing on getting the orders under our belts and then timing of execution is going to depend on customer requirements project by project. But just generally speaking right now Amit, your point is accurate. Bookings are a little bit slower than we would like to see, but it’s as you know it’s timing that we can’t control. And from a revenue recognition prospective, we’ll just have to follow all those contracts we're going to be executed throughout the remainder of this year and then going into 2020. We’ll have obviously more this year once we have the opportunity to work through this, call it the full second quarter, and then talk later at that point in time. We’ll have more visibility to more specifically what our result is going to be for the full year.
Amit Dayal: I apologize, if you touched on this topic, but U.S. revenue declines, any particular reason for the slow pace on the U.S. revenue side?
Vince Arnone: Really no specific reason on it, other than when, as Jim noted, when we compare going into to 2018 with the $20 million plus backlog versus coming into 2019 with the $12 million, approximately $12 million backlog. We’re just not executing on projects at the same level and as a result it is now recognizing that same level of revenue either. So that’s the primary driver.
Amit Dayal: And then just related to the China items, are these one-time -- I know Jim gave a little bit more clarity on this, but the $600,000 in restructuring charges probably the one-time thing. The $300,000 in operating losses, I mean, should we expect to model for those levels of losses for the next one or two quarters as well?
Vince Arnone: Yes, right now, yes. First of all answering the question, the severance charges are indeed one-time. We took that charge in Q2. We actually went through our first round of employee lay-offs on January of this year. And that we reduced the team by about half in China at that point in time. At the end, right here at the end of the second quarter, we’re going to go through a second round of restructuring if you will, but we’re not going to take any incremental restructuring charges we’re taken that already in Q2, okay. But answer to your question more specifically on I’ll call it the running operating cost Q2, we would expect to have approximately a similar level of operating cost that we had in Q1 excluding the severance cost, so approximately $300,000 or thereabout for Q2. As we move throughout the remainder of the year, that number will then decline dramatically. Q3, Q4 will be much slower numbers because we’re just going to be having less a skeleton staff that just going to be on hand to finish up a couple of projects and the work on collecting on accounts receivable. So, we’ll drop from $300,000 level and operating cost to sub $100,000 or even lower in Q3 and Q4 as we do the final wrap up if you will or wind down of the APC business in China. Okay, does that helps?
Amit Dayal: Yes, yes, yes. Thank you so much for that.
Vince Arnone: You’re welcome.
Amit Dayal: Just one last one for me, you're still targeting sort of non-China markets in Asia. Is this primarily through distributors and other partners? Or are you also planning on just creating some presence in some of these other geographies to support sales efforts?
Vince Arnone: Now, we are not looking at establishing other footholds in some of those geographies, Amit. We’ll do it through other partners whether they’d be OEMs, whether they’d be licensing or implementers of technology, but we’ll use other entities to deliver our technology solutions in those geographies. We're not looking to establish another presence.
Operator: Our next question comes from the line of Peter Enderlin with MAZ Partners. Please proceed with your question.
Peter Enderlin: And the two new FUEL CHEM utilities that you're going to be providing for, how will the magnitude of those compare with the one big one that you got last year, when they're seasonally dispatched? I know it's not going to be year around, but in terms of when they're actually running, they're running or not running, so how would the magnitude of those be?
Vince Arnone: Just I'll give you an approximate answer, Pete, because it's difficult to know how these units are going to be running. Right now, we would expect a summer run but that's going to be weather dependent as well. But just as a, call it a factory use, I would expect the revenue from these two units on a monthly basis to approximate the one call it larger coal-fired unit that we actually brought on board in Q3 of last year. So when these two units are dispatched this summer, anywhere in the range 150,000 to 200,000, 250,000 in total for both of them per month, approximately, approximately. It's you know what we're pleased by the opportunity, if you would have asked me, a year and half ago that, we would have the opportunity to add three incremental coal-fired units to our FUEL CHEM base. I probably would've said that the opportunity or probability was pretty slim. So we're pleased to have these come on board. They are being driven. These last few units are being driven by the need to burn a specific challenging coal. So, it fits very well for the other FUEL CHEM program and we are very pleased to have these units come on line.
Peter Enderlin: And would that likely be for basically the summer quarter?
Vince Arnone: Predominantly, yes, and then we'll see what happens when winter comes around as well. But during spring and fall, we would not necessarily expect these units to be running.
Peter Enderlin: And you've mentioned a $1 million equipment associated with that. Is that million dollar? Was that in the backlog at the end of first quarter?
Vince Arnone: No, we don't have a backlog calculation for FUEL CHEM, Pete, because it’s a recurring revenue sale generally. Our sale of equipment and installation services, I would call more of a one-off specific situation for this customer.
Peter Enderlin: On the overall accounting for China, wouldn't it be clearer and simpler just to treat Beijing as a discontinued operation instead of waiting until it's actually completely shut down?
Vince Arnone: I'll let Jim comment on that, Pete.
Jim Pach: Yes, Pete, wish I could do that obviously it'd make the financial presentation a lot cleaner, but unfortunately U.S. GAAP accounting rules require that, the entity be completely closed down or suspension of the activities was finalized before you can get to that. So, unfortunately, that's an accounting literature item that we don't really have flexibility on unfortunately.
Peter Enderlin: I thought so, but I just wanted to check. Is there any potential for legal redress in China? I mean I know you guys have some sense that you got sort of, what would you say screwed. So is legal action possible?
Vince Arnone: It is not at this point in time, Pete, and you’re referring to IT issues that we had historically in China with our Beijing Fuel Tech operation. We actually did, Pete, some years ago and engaged in a legal activity, if you will to see if we can find remedy for what transpire in, and this was actually four to five years ago. At this point in time, there’s no remedy. We’re taking our action in China because of obvious operational concerns, and it’s for the better Fuel Tech's future. And we’ll move forward from here and we’ll be a better structured more focused company absent Beijing Fuel Tech.
Peter Enderlin: Is the 60% natural gas statistic for APC that you mentioned? Is that a U.S. number or worldwide?
Jim Pach: Worldwide.
Vince Arnone: Worldwide.
Peter Enderlin: Yes, and of course, the former part of that is in very substantial at this point anyway, but I'm just curious.
Vince Arnone: Correct.
Peter Enderlin: On the DGI outlook, it sounds like there really is a lot of pretty major potential. Could that become significant as a percentage of revenues as early as 2020? Or is it going to be a longer term wrap up?
Vince Arnone: I’d say it’s going to be a longer term opportunity for us, Pete, at this point in time. You’re correct, what we’re seeing in terms of activity. Again particularly on oil and gas side can possibly provide some very, very large opportunity for us, but we’re progressing on a step by step basis we’re methodical about our approach. And ultimately, it’s going to be best for us and in terms of us establishing ourselves as potential player with the good technology solution in that market place but before we have material revenues it will likely be post 2020.
Peter Enderlin: And for the potential of those -- that technology in bunch of different markets, is it really sort of a breakthrough technology or would it be incremental and done in cooperation with other things that the customer would need to do at the same time? I mean that’s sort of a general question, but I don’t quiet get the scale of the impact of what you’re talking about?
Vince Arnone: Well, I understood. Two things, so first of all, we consider our technology application to be an improvement over other oxygenation technology that had been deployed in all of the industries that have water treatment issues. Okay, so, we consider our technology to be a material improvement, okay, so it's answering one question. And then secondarily, in almost all cases, oxygenation solutions are not the sole solution for treating that water. It’s used to conjunction with other technology applications, other chemical applications and the like. So, it ends being part the solutions package for that user at the end of the day.
Operator: [Operator Instructions] Our next question comes from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: The gross margin outlook for the rest of the year, 35% to 40%, isn’t it a little bit conservative given that you already have 34.4 rather 37.4 on the APC and 48.4% on FUEL CHEM?
Vince Arnone: Generally speaking, Sameer, 35% to 40% is, it’s a range that we use as a rule of thumb because it will be impacted by call it projects mix on the APC side, and then as you point out, also just the relative percentage of revenues that comes from APC versus FUEL CHEM, okay. So, as we look at a full year landscape, we typically quote to 35% to 40% as call it our general range. As we have a better picture to A, the project mix on APC; and then to B, the revenue mix between APC and FUEL CHEM, we were able to then get a little bit more granular, but as of today premature to make that a more specific number.
Sameer Joshi: Understood.
Vince Arnone: Okay.
Sameer Joshi: Clarification on the APC incremental work that you did on one or two projects during this quarter?
Vince Arnone: Yes.
Sameer Joshi: What was the nature of that work? Why was it necessitated and if it likely to be incurred on another projects that you’re working on?
Vince Arnone: The answer would be, no, on your second part question. On the first part, as we -- for a particular customer, as we delivered our system to, to the customer site location, we actually found that there was a little bit more work we needed to do on our delivery system to meet customer’s requirements, okay. And as Fuel Tech, our priority is our customers and we’re doing right by them. And as a result of ultimately meeting their, all of their requirements, we had to do a little bit of work on our delivery system at that site. So, that’s the driver for the incremental cost. It’s not -- it’s a little more expensive than what I would call a normal scope of work for doing something incremental which is why we called it out, and we’re not expecting it to be recurring.
Sameer Joshi: Okay. Thanks for that clarification.
Vince Arnone: You’re welcome.
Sameer Joshi: One last one from me, the previous question you did give color on the coal-fired units that you’re bringing online. But as you look out to into the next few quarters, do you expect additional incremental coal-fired units to be under the FUEL CHEM program or inside?
Vince Arnone: Yes, if it was going to happen domestically, I have to say I’ll be a little bit surprised, Sameer. I’ll tell you right now, the two that we just brought on board were a little bit of surprised us. We did necessarily expect it to happen. Here domestically, we are pursuing coal-fired opportunities I had mentioned in my comments in actually in the Philippines at two different stations out there, whereby they’re having some great difficulty in burning fuel at boilers, at our base loaded boilers, with a market that has a very high demand for power and power pricing is extremely high. So, we think the return on investment is going to be there for the end customers. So, if I was going to say, we’re next source of a FUEL CHEM coal-fired unit would be, it would probably be outside of the U.S.
Sameer Joshi: Understood. Is Germany part of that equation as well given that they have extended the usage of coal?
Vince Arnone: We tried to pursue FUEL CHEM in Germany some years ago, but given their experience in running their coal-fired utilities with lignite as their fuel and how they design their boilers to burn lignite very specifically. They haven't had what I would call critical slagging and fouling issues that we would be able to address. Just because of how they engineered the boilers very specifically to the local coal that they used in Germany. So, I would not necessarily expect anything incremental in Germany from FUEL CHEM.
Sameer Joshi: Thanks once again for taking my questions.
Vince Arnone: My pleasure, anytime.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Vince Arnone for closing remarks.
Vince Arnone: Thanks, operator. Once again, I want to say, thank you to everyone for joining the call today and thanks for your interest in Fuel Tech. We're going through a multiyear planned reorganization, restructuring, redevelopment of our company. These past three to four years, we've gone through significant restructuring to the point whereby 2018, we generated an operating profit and positive cash flow for the first time in five years. We expect additional improvement to continue and as I mentioned previously, the entire Fuel Tech team is dedicated to continued success and to providing value to our shareholders. You have that as my commitment to the shareholder base. Thanks everyone. Have a great day.
Operator: This concludes today's conference. You may disconnect your line at this time. Thank you for your participation.